Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Enfusion's Fourth and Full Year 2023 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I'd now like to turn the call over to Bill Wright, Head of Investor Relations, to begin.
Bill Wright: Good morning, and thank you, operator. We welcome you to Enfusion's Fourth Quarter and Full Year 2023 Earnings Conference Call. Hosting today's call are Oleg Movchan, Enfusion's Chief Executive Officer; Brad Herring, Enfusion's Chief Financial Officer and Neal Pawar, Enfusion’s newly appointed Chief Operating Officer. Please note, our quarterly shareholder letter, which includes our quarterly financial results have all been posted through our Investor Relations website. I would like to remind you that today's call may contain forward-looking statements. These forward-looking statements are subject to numerous risks and uncertainties, including those set forth in our filings with the SEC which are available in the Investor Relations section on our website. Actual results may differ materially from any forward-looking statements we make today. These forward-looking statements speak only as of today, and the company does not assume any obligation or intent to update them following today's call except as required by law. In addition, today's call may include non-GAAP measures. These measures should be considered as a supplement to and not a substitute for GAAP financial measures. Reconciliation to the nearest GAAP measure can be found in today's quarterly Shareholder Letter, which is available on the company's website. With that, I'd like to turn the call over to Oleg to begin.
Oleg Movchan: Good morning and thank you for joining us today to discuss our results in the fourth quarter of 2023. I’m honored to be completing my first four year as Enfusion’s CEO and thrilled to welcome Neal Pawar our new Chief Operating Officer to the Enfusion team. Neal joined us in November and brings a tremendous amount of operating experience along with breadth and depth of technology experience across the financial services industry. In just the past three months, Neal's presence and enormous enthusiasm has been felt across our entire organization. We're sure Neal will be instrumental in helping us scale up the business and expand our market footprint with global enterprise clients. As for the fourth quarter, I'm pleased to announce that Enfusion's business achieved several milestones and we saw the economic profile of our business continue to strengthen and become more predictable. While not immune to macro headwinds we have discussed in previous quarters, we have focused on controlling what we can under our roof. To that end, we continue to enhance our world-class end-to-end platform that empowers all workflows. Enfusion is built with unparalleled technology, continued innovation and relentless dedication to our clients. In doing so, we have and will continue to widen our economic moat. Our strong financial results this quarter reflect discipline strategy execution and cost control. Several of our wins this quarter validated Enfusion's strategy as we continue to move up market. We saw a combination of new client wins as well as conversions from our biggest competitors across several time segments and geographies. Now, let me walk you through some of our key financial metrics in the fourth quarter. Our economic trajectory inflected upward in Q4 2023 as we reported $46.5 million in revenue delivering 15% revenue growth year-over-year. Fourth quarter adjusted EBITDA totaled $9.8 million translating into an adjusted EBITDA margin of 21% representing a 436 basis points expansion compared to the same period a year ago. This outcome is attributable to a combination of discipline expense control and improving scale. From a full year perspective in 2023, we reported $174.5 million in revenue delivering 16% growth year-over-year and $31.7 million in adjusted EBITDA also expanding our adjusted EBITDA margins from 13% to 18% an improvement of approximately 500 basis points compared to the previous year. Despite the challenging and turbulent industry backdrop throughout 2023, we saw growing momentum in Q4 that led to 45 new client additions. Our biggest quarterly client win since the second quarter of 2022. This brings our total client count to 865, a new firm record. Our ACV increased to $219,000 another firm record representing a 1% quarter-over-quarter and 6% year-over-year growth. Our progress up market continues to broaden our client base and has contributed to our continued ACV increase. Let me provide you with more details on our client wins this quarter. In the Americas, revenue grew 15% year-over-year reflecting the combination of market share gains and wins for large and complex clients in competitive situations. This dynamic provides a more stable set of business economics going forward. One notable win this quarter, which I'm excited to share with you is Utah Retirement Systems or URS, a prominent pension plan that will move approximately $10 billion of internally managed AUM to the Enfusion platform. Instead of upgrading its legacy OMS, URS will utilize Enfusion's full front to back capabilities. Additionally, URS will take advantage of our portfolio workbench tool for quarterly rebalancing functionality. This is an exemplary strategic win for our business, particularly as we continue to grow in service pension advisors. We remain keenly focused on taking market share. I'm also thrilled to announce that Enfusion signed Mariner Investment Group, a prominent alternative investment manager with $7 billion AUM. Mariner will have 70 plus users utilizing our platform across trading, portfolio management, operations and technology. Our team was able to design a well-suited solution that will consolidate and replace multiple pre-existing systems for Mariner and provide one centralized view with increased automation for all trading teams involved. This is an exciting competitive win. And another proof point, validating our ability to support complex fund structures and multiple asset classes and strategies as we continue to grow our presence in the multi-strategy space. In Europe, Middle East and Africa, revenue grew 24% year-over-year, reflecting our continued expansion in Europe. We signed our first asset manager in Belgium and a large multi-family office in Sweden. Both of these wins are additional confirmation that Enfusion is executing our global strategy to reach traditional managers and grow beyond the concentrated money centers in Europe, where we already have a dominant position. In the Asia Pacific region, revenue grew 7% year-over-year, which is an outstanding result given the regional capital outflows and the challenging geopolitical and economic backdrop. Our growth in APAC was driven in part by client conversion from an asset management arm of a large corporation headquartered in South Korea. We were able to take this business away from one of our biggest competitors. This client win is a testament to our focused product strategy, which has enabled us to displace established competitors up market. Edging out the incumbents reflect our ability to listen to our clients' needs as they re-evaluate their tech stack and pick a single product with one data set or single source of truth. This allowed the client to eliminate multiple modules as they look to lower their total cost of ownership. At this time, I would like to introduce Neal Pawar, our new Chief Operating Officer, to provide updates on our platform capabilities and client services.
Neal Pawar: Thank you, Oleg and everyone at Enfusion for providing such a warm welcome to the firm. Before we discuss service, a few investors have asked what led me to join Enfusion. After a career as CIO of some very large successful buy-side firms, I observed firsthand the trend of SaaS eating into the on-premise enterprise software space. When you look at the total cost of ownership of an enterprise platform, a client spends at least as much as the license fee on operating and supporting the platform in their data center. Enfusion was designed as a multi-tenanted SaaS platform from day one, and since then has onboarded over 860 diverse buy-side clients. After a few decades of seeing our industry rely on legacy on-premise systems, I'm excited to have joined the leadership team that is steering Enfusion's modern SaaS platform. Looking beyond our recent success in client wins, our service team has been laser-focused on providing our clients with a smooth implementation, hitting critical time deadlines. While smaller clients have continued to be onboarded in record time, as we move up market and sign larger and more complex clients, the onboarding process has had to become more tailored. Through our integration toolkit and APIs, we establish a software and data partnership with our clients. This creates an electronic and also sticky relationship, which facilitates the ability once landed to further expand our relationship. On this note, during the fourth quarter, we successfully completed the second phase of implementation for a hybrid asset manager with over 30 billion in AUM, allowing the client to go live and do so on time. This is a great example of the kind of customer we want. Since it illustrates our ability to serve a complex cross-section of our industry. This particular client, Kane Anderson, invests in a variety of assets, ranging from equities to more complex instruments like bank debt. And obviously our ability to support all the asset classes they invest in was critical to winning their business. In this case, we had initially onboarded our order management system or OMS, and then after OMS was complete, we then expanded to accounting. This is a good example of our ability to land and expand, made possible thanks to Enfusion's shared investment book of records or IBOR. As with many of our clients, we've helped them lower costs as well as operational risk by replacing multiple vendors with a single platform and eliminated manual work, like having to reconcile those different systems, which helps deliver on the lower total cost of ownership I described earlier. The beauty of multi-tenanted SaaS models is that clients never again have to handle system upgrades. Clients of on-premise vendor software are often 18 to 24 months behind versions. Enfusion releases its software weekly. Those weekly releases ensure every single one of our clients benefits from features we are adding to the platform. For example, in this last quarter, we rolled out 247 new features across our portfolio management and order management systems. Shifting to product, our recent rollout of Portfolio Workbench, which we announced in the third quarter of 2023, has already driven new business. To recap, Portfolio Workbench's functionality enables investment managers to seamlessly rebalance their portfolios across multiple strategies and investment vehicles. It also provides our clients with the ability to leverage in-grid portfolio editing and works in concert with our order management functionality. Through this new functionality, portfolio managers can test pre-trade compliance rules and model upcoming subscriptions and redemptions across multiple investment vehicles, all within one user interface, without concerns about data integrity. Portfolio Workbench was a key product innovation that has allowed us to win the Utah Retirement Systems Accounts in the fourth quarter. The continual focus on innovation is a core value of Enfusion, and it empowers us to compete on a global basis and strengthens our competitive edge. And now I will turn it back to Oleg to discuss market dynamics.
Oleg Movchan: Thank you, Neal. I now want to share with you some market dynamics we observed over the last few months. Despite a very modest pickup in hedge fund launches the past several months, we delivered 45 new client additions, our largest client win in six quarters. This quarter demonstrates our diminishing dependence on hedge fund launch dynamics as we diversify across market segments and regions. Although larger and more complex investment managers have longer onboarding cycles, our SaaS native architecture offers collaboration with our clients and provides a framework driving more predictable and timely onboarding processes. As investment firms experience additional cost pressures, we saw tailwinds for our business this quarter. We see the industry players seeking our best-in-class software platforms to lower their total cost of ownership and increase operational efficiency. This is our sweet spot. We have proven that our SaaS native architecture is a sustainable competitive advantage, providing a natural platform in which workflows are powered by the same data set in software versus our competitors on-prem or SaaS Lite models. Accordingly, we anticipate that our overall composition of client wins will continue to shift more towards convergence this year. Looking ahead to 2024, our key focus will be product innovation for our clients, strengthening our bond with our partners, continuing to be a destination for world-class talent and creating superior value for our shareholders. We see the company positioned to take market share and expand geographically. Reporting strong growth in 2023 with expanding operating margins has given us flexibility to invest in our business, talent, and partnerships. Our key focus areas for 2024 will be executing our product roadmap by expanding our platform functionality and deliver new capabilities and workflows for our clients with specific focus on traditional asset managers, provide existing clients with the highest customer service, exceeding their expectations, achieve another 100% success rate for new client implementations, invest in technology capabilities, supporting our account management and managed service teams so we continue to create value for our clients, scale our business, and improve our efficiency. Keep a sharp focus on non-critical expenses so we can continue expanding our adjusted EBITDA margins while deploying capital into our platform and product to support business growth. In conclusion, we're excited by our results in the fourth quarter and the full year. We see the economic profile of the company continuing to strengthen as revenues grow and margins expand while we simultaneously reinvest in the business. As you may be aware from our press release, the company will be hosting an investor day in Fort Lauderdale, Florida next Tuesday, March 19th. The event will feature presentations from our executive team and provide an overview of Enfusion's fully integrated investment technology platform, current and future market positioning and growth outlook over the medium term. The formal presentations will be followed by a question and answer sessions hosted by members of our management team. Advanced registration is required and in-person attendance is by invitation only. Individuals who have not received an invitation but would like to attend can request an invitation on the investor relations section of our website. Discussion materials will be made available on our website. We hope to see you all at our investor day on March 19th. I will now turn the call over to Brad to discuss our financials.
Brad Herring: Thanks, Oleg, and thank you everyone for joining us today. On behalf of the entire management team here at Enfusion, we're excited to announce yet another quarter of market-leading growth combined with significant margin expansion. For the fourth quarter, we generated revenue of $46.5 million, an increase of 15% over the same quarter last year. Of particular note is the fact that our revenue growth has reversed the trend of the past several quarters with our Q4 growth rate exceeding our Q3 growth rate by 140 basis points. This change is due to accelerated client activations from a strong front book and the improving trends in the back book that I've discussed previously. Just to clarify, we defined the front book as our ability to book and onboard new logos while the back book represents our ability to organically grow our existing client base. We'll be discussing that delineation deeper at our investor day discussion next week. It's worth commenting that Q4 bookings were the highest we've seen in four quarters with 65% of those bookings coming from conversions. Fourth quarter ARR was $185.1 million, up 12% year-over-year and 4% higher than what we reported in the third quarter. Starting this quarter, we're simplifying our discussions around NDR. While historically we've discussed a fully impacted NDR and an NDR excluding involuntary churn, we've made the decision to report only our fully impacted NDR going forward. The thought process behind this change is that churn, regardless of whether it's voluntary or involuntary, affects our revenue streams the same way. That said, our NDR for the quarter, including all churn was 102%. This is flat to what we reported last quarter, but it's worth noting that our Q4 NDR was negatively impacted by nearly one full percentage point from the consolidation of UBS and Credit Suisse as customers dropped duplicative broker connections. The impact of this consolidation will be a headwind for NDR through Q3 of this year. For other items inside of NDR, upsells remain above the lows we saw in the second quarter while churn rates continue to decline. With respect to targets for NDR, I've mentioned previously that our target for NDR excluding involuntary churn was 110%. With our revised view of providing NDR with any source of churn included, we are setting a 12-month target for NDR to 106% to 107%, applying an additional 400 to 500 basis points of upside as these measures return to normal levels. Our reported adjusted gross profit increased by 13% year-over-year to $31 million. This represents an adjusted gross margin in the quarter of 67%. Q4 was negatively impacted by some non-recurring incentive payments made to our support and onboarding teams related to the accelerated revenues from new client onboardings that I mentioned earlier. The impact of these payments was just under one percentage point of gross margin in the quarter. Adjusted EBITDA for the quarter was $9.8 million, up 45% compared to Q4 of last year. This represents an adjusted EBITDA margin of 21%, which is up over 430 basis points from the same period a year ago. The improvement was due to improved scale across our SG&A functions, as well as some targeted cost reductions that were implemented throughout 2023. For the quarter, we generated adjusted free cashflow of $4.3 million compared to $5.8 million in the same period a year ago. This brings our total adjusted free cashflow for the year to nearly $16 million, representing a 50% conversion rate against adjusted EBITDA. That compares to $6.2 million of adjusted free cashflow in 2022, an adjusted free cashflow conversion of 32% for the same year. GAAP net income for the quarter was $900,000 compared to $800,000 in the same period last year. Against our fully diluted share count of 127.8 million shares, our current quarter net income results in a GAAP EPS of $0.01. On an adjusted net income basis, this equates to $0.04 per share of non-GAAP EPS. We do not have anything significant to report with respect to the quarter-over-quarter changes in our balance sheet or capital structure. We ended the quarter with approximately $35.6 million in cash and cash equivalents with no outstanding debt. As we discussed last quarter, we've recently secured a revolving line of credit totaling $100 million. But at year end, we had not taken a draw against those funds. Now I'll move on to guidance for this year. For 2024, we anticipate revenues to fall between $200 million and $210 million. At the midpoint, that represents a growth rate of 17.5%, which is 280 basis points higher than where we exited Q4 of 2023. This revenue guide assumes a macro environment consistent with where we exited Q4 of 2023. We anticipate adjusted EBITDA to fall between $40 million and $45 million, representing an adjusted EBITDA margin at the midpoint of 21%, which is approximately 250 basis points higher than what we reported for the full year 2023. The primary reason for the year-to-year expansion is related to the increasing scale benefits across our SG&A functions, offset by investments in our product and technology capabilities. We anticipate our adjusted EBITDA margins will follow the same seasonal cadence that we experienced in 2023. This factors in the timing of certain expense considerations, such as the implementation of our annual merit increases and the timing of audit and tax fees. To be very prescriptive on this point, a margin guide for Q1 of 2024 would start with our printed margins in Q1 of 2023 of 14%, and add 200 to 300 basis points of annual improvement to get to a Q1 2024 expectation of 16% to 17%. We continue to remain confident in our ability to expand free cash conversion into 2024, guiding to a full year conversion rate of between 50% and 55%. There are also a few tactical items I want to pass along. First, modelers should expect our stock-based compensation for the year to fall between $19 million and $20 million. The increase over 2023 stock-based compensation of $8 million is largely due to forfeitures in the first half of 2023, as well as implementation of a revised incentive plan for 2024. Second, going forward, we'll be breaking out the capitalized software as a separate line item on our cash flow statement. The objective is to give additional visibility into our product R&D efforts that fall outside of our income statement. With that said, we'd like to open up the call to questions. Operator, please go ahead.
Operator: [Operator Instructions] Our first question comes from the line of James Faucette with Morgan Stanley. Please go ahead.
Michael Infante: Hi, it’s Mike Infante on for James. Thanks for taking our question. I appreciate your commentary about the business obviously being less indexed to the new fund formation backdrop than historical. But how are you thinking about the new fund formation pipeline in 2024? It seems like net things are a lot healthier than they have been over the prior two years. So I'm curious what you guys are seeing both in terms of magnitude as well as the composition of the pipeline. Thanks.
Oleg Movchan: Of course. Thank you for the question. Basically, it's a relatively balanced picture. Things are easier. I think capital is flowing back to the hedge funds. But also we're seeing launches over the multi manager, multi strategy platforms. We have, as you know, we have a relatively healthy market share in that space and we keep watching the space. Again, as you can see from our wins in the composition of the net client ads, we keep protecting our -- and hedge funds in general and hedge fund launches in particular. But we keep our eyes squarely in the prize as far as traditional asset managers are concerned. And of course, keep winning the business upstream with respect to more complex, larger hedge fund managers taking business away from our competition.
Michael Infante: Got it. That's helpful. And then Brad, maybe just a quick follow-up for you. If I have the numbers correct, I think the outlook implies incremental adjusted EBITDA margins in the mid-30s range, which is a touch lighter than recent results, which, were generally in that 40% to 55% range. You obviously alluded to some product investments that you guys are making, but how should we be thinking about the investments that you're making this year or whether or not that's just a function of starting the year conservatively? Thanks.
Brad Herring: Thanks, Mike. I think there's two pieces of that. One is that's why we range it to give us some latitude. With Neal coming in, we spent a lot of time looking at our product roadmap, so we wanted to give us some room if there are some incremental investments we want to make this year. So that number could dip a little bit, but at the same time, if we think we've got opportunities to expand margins and push some of those investments out, we'll do that as well. So that's why we range those, but your math and your numbers are correct that the low end of that range is probably in the 35 range. It's probably more like 45 on the high end.
Michael Infante: Got it. That's helpful. Thanks, guys.
Brad Herring: Thanks, Mike.
Operator: Our next question comes from the line of Dylan Becker with William Blair. Please go ahead.
Dylan Becker: Nice job here. Maybe starting with Oleg and maybe Neal as well, too, you guys talked about kind of improving that onboarding efficiency. So I wonder how you think about that balance between the multi-tenancy benefits of standardizing processes, moving faster, more efficient from a go live perspective, maybe versus some of the customization that's required in some of those larger asset managers and going deeper from a product functionality perspective. Does one have to hinder the other or can it be something that helps fuel that product innovation and things that you can productize further in the future?
Oleg Movchan: Dylan, thank you so much for the question. I'm pretty sure Neal and I would answer it the same way. So we'll let him take this.
Neal Pawar: Yes. So Dylan, thanks for the question. Look, I think when we're onboarding new clients, obviously, to the extent that there are clients that have features that they want added into the system, this is the beauty of doing weekly releases. And so we're constantly adding those new capabilities to the platform, allowing clients to get on board much quicker. And of course, any of those new features that we add immediately get circulated or released to all of our clients at the same time. So not only are we helping accelerate the onboarding of an individual client, but we're also rolling out new features simultaneously to the remaining clients who are on the platform.
Dylan Becker: Got it. Yes. That makes perfect sense. And then Brad, sticking with the idea on the outlook here, it sounds like nice momentum in the aggregate base. New logos are accelerating, insurance stabilizing, deal sizes increasing. Is that the right way of kind of contextualizing the aggregate business momentum and how that kind of fuels the outlook for acceleration here into 2024? Thanks.
Brad Herring: No, thanks. It absolutely is, Dylan. I think the nice thing for us is, if you look at all of the momentum drivers on our revenue, they're all going in the right direction. Right. Our front book looks really good. We talked about that over the last couple of quarters that a tough macro actually helps us from a front book perspective. We've talked about the trends improving in the back book. We're seeing, downgrades have dropped off considerably. The upsells are picking back up. Churn is certainly decreasing from where it was in those Q2 levels. So it's not any one big driver that's pushing our momentum into 2024. It's actually all three of those components contributing positively.
Neal Pawar: And I will, Dylan, I'll also add that we keep diversifying geographically. So whenever we see weakness in one area of the world or one sector, we see that flag being picked up somewhere else, which allows for additional stability.
Dylan Becker: Great. Thanks, guys. Appreciate it.
Oleg Movchan: And just real quick, we'll talk some more about that at Investor Day next week. We're going to peel that back a little bit deeper.
Operator: Our next question comes from Parker Lane with Stifel. Please go ahead.
Unidentified Analyst: This is Matthew [Indiscernible] on for Parker. Thanks for taking my questions. To start, you talked about guiding to 106% to 107% net dollar retention in context of the 2024 guide. Can you talk about what is driving that increase and what went into coming to that number, along with any churn baked into the guide? Thank you.
Brad Herring: Yes, sure. We'll go into this actually a little bit more next week. But to give a little bit of flavor for it, the improvements coming from a couple of areas. One is our net organic growth. We did see a pretty decent fall off in that number for 2023, especially the first half of the year when the macro kind of came unwound a bit. We saw customers very hesitant to add seats as their books grew internally. We also saw a fair amount of downgrades in 2023 as customers were kind of resetting their cost structures. We've seen both of those trends reverse toward the end of 2023. And we're expecting those trends to continue into 2024 to return somewhat back to more normal levels as to where they were back in the 2021 and 2022 levels. With respect to churn, it's a similar story. We did see churn pick up in the middle part of 2023. And subsequently, we've seen those churn numbers fall off again as you get into the back half of 2024. Normal churn for us will run in the 4% to 5%. But keep in mind about three to three and a half of that is involuntary. It's just hedge funds, either not funding or not launching or coming unwound and not redeploying those funds. So we'll talk about that more next week. But when you look at our NDR improvement, we feel pretty confident given the trends we're seeing, especially on that organic growth element. And churn is contributing to that as well. So all three of those are going to help us.
Neal Pawar: And just one more addition to that. The quality of the book is we're seeing quality of the book is increasing very steadily. And that's a function of our discipline, go to market strategy. We spend a lot of time with clients, making sure we do understand what they're looking for, creating solutions that being very targeted with our onboarding process. And at the end of the day, when clients do go live, there is a really tight alignment between our technology team, product team and support team to make sure that the clients are satisfied and as a result, they're longer with us.
Unidentified Analyst: Okay, that makes sense. And secondly, great quarter with new customer wins. Is there anything that you did differently as a company with the go to market specifically to drive these additional wins or is it purely a better macro and a better mix of offered solutions?
Oleg Movchan: We just kept pressing. We didn't do much differently this time. I was against stress the fact that we are being very purposeful and how we think about business on a global basis. As we highlighted, in our prepared remarks, we're winning business in all areas of the world, South Korea, in Belgium, in Australia, in Singapore, and just thinking about how we how we kind of position the business, we follow in the capital and capital is more or less flowing out of money centers, such as Hong Kong and London, and we're kind of deploying our eyes and ears away from those and rebalancing the book and kind of positioning the product and positioning the platform for market to understand what we're doing and filling up those gaps. And so nothing really changed. We're seeing balanced inflow both from launches and from conversions. And we just keep executing one what we set out to do the last couple of years.
Unidentified Analyst: Terrific. Thank you.
Operator: Our next question comes from a line of Alexei Gogolev with JPMorgan. Please go ahead.
Alexei Gogolev: Hello, everyone. Could I first ask you to provide an update on the dynamics that you saw in the US? We've seen a pickup in America, but can you maybe elaborate what was the growth in U.S. only and maybe broadly how much of that growth came from the retirement system?
Oleg Movchan: Well, the retirement system is just the recent client wins. So it's not reflected in our revenue for 2023. But, the book of Business in the U.S. is pretty healthy. First of all, I would like to acknowledge that there is some consolidation going on in the hedge fund spaces for large multi-manager, multi-strategy clients keep looking for scale and keep looking for talent. On the other hand, we are, as our numbers show, we're not... first of all, this phenomenon is not happening at the scale that is material to the industry, not that we see. And second, this phenomenon doesn't impact infusion that much. And so from that perspective, the balance between launches and conversions, conversions for us is pretty healthy. Our bookings, we don't discuss them, but as far as our portfolio revenue mix and bookings mix, it's still very well diversified. So there's... we don't see any lumpiness from that perspective, if that's what you're asking for.
Alexei Gogolev: Okay, thank you. And in terms of the platform revenue growth, which was below 14% for the second quarter in a row, with your increased efforts moving up market, do you anticipate a greater share of managed services and your 2024 guidance of 17.5% at the midpoint?
Oleg Movchan: We don't. So the way we think about managed services today is it's really a part of the package that we offer our clients when we go to market. So we do have, as you guys hear me say multiple times, I keep my close eye on managed services in general. We are not in a position at this point in time to be managed services forward when we go to market. It's just part of the package we're offering to clients. What we do is we invest relentlessly back into the platform to make sure when we do deliver managed services, it does come with maximally high growth margins so that the technology that we use to deliver the service is basically the mirror image of the same technology that our clients could use to accomplish the same task. And so again, this is not something that was obviously something we track. At this point in time, the platform itself is like our tip of the spear. And once we redesign the new engagement model, as I alluded to a couple of quarters ago, we will be ready to go to market with managed services.
Alexei Gogolev: Thank you, Oleg.
Operator: As a reminder, the floor is now open for your questions. [Operator Instructions] Our next question comes from the line Koji Ikeda with Bank of America. Please go ahead.
Natalie Howard: Hey, this is Natalie Howard for Koji. I wanted to ask about your strategy for M&A given the current environment. Are you guys planning on waiting for the macro to settle further before making more of those decisions? And I also wanted to hear more on what's going into those decisions and which part of the business you think would benefit the most as you go into 2024?
Oleg Movchan: Great question, Natalie. Thank you so much for it. So we obviously are watching macro environment and only to the extent that it creates opportunities. There is a pretty decent, we still keep seeing decent amount of disconnect between capital that's available to more stable, growing technology businesses and capital that's available to kind of earlier stage, early stage companies with product that is relatively raw, but already captured hearts and minds of certain part of the market. So we're looking at relatively wide range of M&A opportunities. As I mentioned before, for us, it's relatively high hurdle rate to acquire something just because, as you know, this is our focus to make sure that our native architecture remains the core of our value proposition. However, we do see some interesting opportunities out there that are very neatly compatible with our tech stack and supplements our current technology functionality very well. A couple of areas, which we focused on as far as our total addressable market is concerned, we do not do not have strong capabilities in its private markets. And that's where we think opportunities are, opportunities exist.
Natalie Howard: Got it. Thank you. Appreciate the color.
Operator: Our next question comes from a line of Gabriela Borges with Goldman Sachs. Please go ahead.
Gabriela Borges: Hi, good morning. Thank you for taking the question. [Indiscernible] Neal. I'd love to follow up on the product roadmap comments specifically as you think about landing and working with more sophisticated, larger customers. How do you think about the balance between customization and doing specific bespoke work for those customers versus how much you actually want to embed in the platform and is leverageable across your entire base?
Neal Pawar: Fantastic question. This is Neal. Thanks for that. Yes, we get a lot of requests from clients for a variety of features. And one of the interesting things that we've observed when we talk to our clients is that they really don't want us to build bespoke solutions for them. They would much rather have the functionality embedded in the platform and implemented in a way that works across industry. Because if you think about it from their perspective, they're trying to get out of the business of doing things in a very bespoke way. And that's what attracts them to a platform like ours. And so even though when clients do need to build something that's very specific to their business, and that does happen from time to time, our APIs allow them to access the data in the way that they need to so they can perform whatever customization they want to perform. More often than not, they're really pushing us to get those features into the platform so that A, they don't have to support them on a go forward basis and B, they benefit from sort of the wisdom of crowds effect of everybody contributing to a common multi-tenanted platform.
Gabriela Borges: That makes sense. Thank you. And the follow up for Oleg and Brad, I want to connect the dots on some of your commentary on the front book and the back book and the macro trends and what you're seeing in the industry. How do you think about the normalized growth profile of Enfusion over a medium term to long term time frame? And I imagine that you've done a fair amount of work on this ahead of the annual stage too, so I would appreciate whatever comments you're willing to share at this time.
Brad Herring: Yes. Hey, Gabriela, this is Brad. I'll take that. That's a great question. And my answer to that is we're going to have a pretty exhaustive conversation about that next week. We're going to break down our growth algorithm into the front book and back book components, what drives each. So look forward to having that conversation on Tuesday next week.
Gabriela Borges: Sounds good. Thank you for the color.
Brad Herring: Thanks, Gabriela.
Operator: That concludes today's question and answer session. I would now like to turn the call over to Oleg Movchan for closing remarks.
Oleg Movchan: Thank you all. I appreciate all the questions. We're looking forward to hosting every one of you next week on March 19 in Fort Lauderdale on our Investor Day.
Operator: That concludes today's call. You may now disconnect.